Operator: Good afternoon and welcome to the First Quarter of Fiscal 2024 Conference Call for Leslie's, Inc. At this time, all participants are in a listen-only mode. Following the prepared remarks, management will conduct a question-and-answer session. [Operator Instructions] As a reminder, this conference call is being recorded and will be available for replay later today on the Company's website. I will now turn the call over to Caitlin Churchill, Investor Relations.
Caitlin Churchill: Thank you, and good afternoon. I would like to remind everyone that comments made today may include forward-looking statements, which are subject to significant risks and uncertainties that could cause the Company's actual results to differ materially from management's current expectations. These statements speak as of today and will not be updated in the future if circumstances change. Please review the cautionary statements and risk factors contained in the Company's earnings press release and recent filings with the SEC. During the call today, management will refer to certain non-GAAP financial measures. A reconciliation between the GAAP and non-GAAP financial measures can be found in the Company's earnings press release, which was furnished to the SEC today and posted to the Investor Relations section of Leslie's website at ir.lesliespool.com. On the call today from Leslie's are Mike Egeck, Chief Executive Officer; and Scott Bowman, Chief Financial Officer. With that, I will turn the call over to Mike. Mike?
Mike Egeck: Thanks, Caitlin, and thank you all for joining us this afternoon. Please note that we have posted our Q1 2024 earnings deck to the Leslie's IR website, and we believe referring to certain pages in that deck during our call. I'd like to remind everyone that our first quarter is historically our smallest sales quarter of the year, during which we make investments and incur costs to position the company for the upcoming peak pool season. The start of our 2024 fiscal year played out as we anticipated, and our financial results for the quarter were in line with or ahead of our expectations. Total first quarter sales were $174 million, down 11% year-over-year. Residential pool was down 10%, PRO pool was down 8% and residential hot tub was down 18%. Comp sales were down 12% year-over-year and non-comp sales contributed $3 million in sales for the quarter. Both sales and comp sales performance improved through the quarter after a soft start in October. Weather in the quarter was a 3% tailwind versus the prior year, in line with our expectations for more normalized weather in fiscal 2024, which saw traffic recover sequentially and down high single digits in Q4 to down mid-single digits in Q1. Total transactions were down 6% year-over-year and average order value was down 5% year-over-year. Average order value continues to be affected by sales of equipment and high-ticket discretionary products, including hot tubs. Total chemical sales improved to down 3%, and we saw a sequential improvement in chemical unit volume each month during the quarter. Equipment sales continued to be soft, down 18%. In total, non-discretionary product sales were down 8% versus a year ago. Discretionary product sales were down 19% and contributed about 40% of the quarter's total sales decline. Approximately three quarters of our discretionary product sales coming from our residential hot tub business., which was up against a 35% sales increase in Q1 of 2023. We are encouraged by the renewed interest we are seeing in hot tubs and faced easier comparisons over the next three quarters. Our analysis of credit card data indicates that our sales underperformed the industry by approximately 578 basis points in the quarter, of which 250 basis points is attributable to our June 2023 chemical price changes. As Q1 is historically our smallest quarter, we believe it is too early to draw conclusions from these numbers. In addition, other data points we look at, including vendor discussions, store management discussions, and similar web traffic data are not indicating our performance lag that of the specialty industry. Regardless to further improve consumers' perception of our value price relationship, we are taking several actions which include: showcasing smaller sizes of chemicals and lower price point products at the front of stores, implementing an item of the month strategy, increasing messaging of our Pool Perks loyalty program benefits and price match guarantee, and increasing messaging around our omnichannel capabilities. With respect to profitability, gross margin decreased 450 basis points, driven primarily by rebate timing the expensing of previously capitalized DC costs and occupancy deleverage, each of which we discussed last quarter. Gross margin was in line with our expectations. Adjusted EBITDA for the quarter was negative $24 million, and adjusted diluted earnings per share, was negative $0.20. We are encouraged that the industry retail pricing appears to have stabilized. Promotional activity appears to be consistent with seasonality and that industry supply chains are operating well. In addition, we believe that the secular tailwinds that drive industry demand remain intact, and we expect these tailwinds to continue to underpin our long-term growth opportunity. Leslie's remains the leading direct-to-consumer pool and spa retailer with unmatched scale, capabilities and brand awareness. After a year of abnormal industry conditions, our team is energized and focused on executing the strategic initiatives that underpin those competitive advantages. As industry conditions continue to normalize, we are executing our strategic growth initiatives to return Leslie's to delivering sustainable top line growth and profitability. Turning to those initiatives. First, our customer file was down 8% in the quarter, driven primarily by traffic. Second, average revenue per customer was down 3% in the quarter, driven primarily by decreases in big ticket items, specifically hot tubs, heaters and above-ground pools. With regard to our PRO initiative, we ended the quarter with 4,000 PRO contracts in place and 98 PRO locations. This compares to 2,850 PRO contracts and 80 PRO locations versus the first quarter of last year. PRO sales were down 8% for the quarter. PRO Partner sales were up double-digits, offset by non-partner PRO sales, which declined double-digits, reinforcing the value PROs are seeing in our partner program. Chemical pricing in the distributor channel remains very competitive, but appears to have stabilized. M&A and new store growth remain important initiatives for Leslie's and we remain confident in our long-term store expansion opportunities. For fiscal 2024, we remain on track to open 15 new stores. From an innovation standpoint, our AccuBlue Home smart tech device continues to increasingly resonate with our rising member base. Member spend continues to average $1,000 per year and member reviews continue to average 4.8 out of 5 stars. While still in the early days after the launch last May, we continue to expect the strong growth curve as customers realize its benefits and value proposition. Our vendor partner is ramping up device production for the season, and we are currently on track to achieve our 2024 full season device inventory plan. While we remain focused on prudently executing our strategic initiatives to capture the long-term opportunities in front of us and extend our industry leadership, we continue to take actions to drive near-term performance. Number one, we are pricing at our relative historical price position and expect to hold this position for 2024. Number two, we are managing inventory and are on track to reduce our 2024 peak and year-end inventory by approximately $100 million and $50 million, respectively. Accordingly, Q1 inventory was down 22% or $95 million versus the prior year, while we still maintained high in-stock levels and strong service metrics. Number three, we are managing costs throughout the P&L. Scott will discuss this later in the call, but SG&A in the quarter was down 6% versus a year ago. Number four, we continue to evaluate, develop, and elevate our people and processes to improve efficiency. The investments we have made in our supply chain talent, most notably the decision to put supply chain leadership under our Chief Merchandising Officer, Moyo LaBode, in conjunction with our new inventory and merchandising systems are driving benefits across the organization. And number five, we are utilizing consumer insight surveys to further improve our understanding of evolving consumer purchasing behavior, and we expect our preseason pool survey to be in the market this month. I'll now hand it over to Scott to discuss our results and outlook in more detail. Scott?
Scott Bowman: Good afternoon, everyone, and thank you, Mike. Before I discuss our results, I would like to introduce our new Vice President of Investor Relations, Matt Skelly. Matt is a seasoned Finance and Investor Relations professional with a career that has spanned over 20 years. We are excited to have them on board and look forward to his leadership of our Investor Relations efforts. Turning to first quarter results. Our results for the quarter were in line with or ahead of expectations, and we were pleased to see improving trends as the quarter progressed. We reported total sales of $174 million, a decrease of 11% compared to the first quarter of fiscal 2023. Comparable sales decreased 12%, but we saw sequential comp sales improvement each month throughout the quarter. Comparable sales decreased 16% on a two-year stack basis and increased 4% on a three-year stack basis. Non-comparable sales contributed $3 million in the quarter, driven by acquisitions and new store growth. With respect to trends by consumer group, comparable sales for residential pool declined 10%, PRO pool declined 8%, and residential hot tub declined 20% compared to the prior year period. On a two-year stack basis, comparable sales declined 15% for residential pool, declined 15% for PRO pool, and declined 23% for residential hot tub. These declines were in line with our expectations given the current macroeconomic environment in a cost-conscious consumer. Gross profit was $50 million compared to $65 million in the first quarter of fiscal 2023 and gross margin rate declined 450 basis points to 29%, which was in line with our expectations. Page 10 of our supplemental deck illustrates our Q1 gross margin rate bridge in more detail. During the quarter, gross margin was affected by four main factors, which we highlighted as anticipated puts and takes during our fiscal fourth quarter 2023 call. First, private gross margin rate declined 235 basis points, driven primarily by the timing of rebates. Second, DC costs were 125 basis point headwind comprised of 105 basis points from the expensing of previously capitalized DC costs and 20 basis points of deleverage on lower comparable sales. Third, occupancy costs, deleveraged by 200 basis points mainly due to the decline in comparable sales. Finally, inventory adjustments resulted in a positive impact of 110 basis points, as we improved inventory management. SG&A was $87 million, a reduction of 6% or $5.4 million, compared to the first quarter of 2023. The reduction was due primarily to declines in merchant fees, lower headcount and executive transition costs and lower M&A costs. Adjusted EBITDA was negative $24 million, compared to negative $12 million in the first quarter of fiscal 2023 and adjusted net loss was $37 million, compared to a loss of $25 million in the first quarter of fiscal 2023. Interest expense increased to $17 million during the quarter from $13 million in the first quarter of fiscal 2023, due primarily to higher interest rates and our effective tax rate increased to 26.1%, compared to 25% in the first quarter of 2023. Adjusted diluted earnings per share, was negative $0.20 compared to negative $0.14 in the first quarter of fiscal 2023. Diluted weighted average shares outstanding were $184 million. Moving to the balance sheet, we ended the quarter with cash and cash equivalents of $8 million compared to $3 million for the same period last year and had $38 million outstanding on the revolver, compared to $91 million at the same time last year. Availability on the revolver was $201 million at the end of the quarter. Inventory ended the quarter at $334 million, a decrease of $95 million or 22%, compared to the prior year quarter, while our in-stock position, service metrics and Net Promoter Scores remain very strong. Regarding our debt level, we had $788 million outstanding on our secured term loan facility at the end of the first quarter, compared to $796 million in the prior year quarter, and our leverage ratio was 5.3 times. The applicable rate on our term loan was SOFR plus 275 basis points in the first quarter and our effective interest rate was 8.2%, compared to 6.1% in the prior year quarter. Turning to our fiscal 2024 outlook, we are maintaining our full year guidance. The first quarter was consistent with expectations. And we expect the second quarter to continue to be affected by pressure on discretionary categories in a more cost-conscious consumer, which is accounted for in our guidance. We have seen challenging weather for the first four weeks of the second quarter, although our weather providers are forecasting a favorable spring in some of our key markets. And as we discussed last quarter, we expect to remain on track to benefit from certain tailwinds in the back half of the fiscal year with easier comparable and as we anniversary the June 2023, chemical pricing action. As a reminder, for fiscal 2024, we expect sales of $1.41 billion to $1.47 billion, adjusted EBITDA of $170 million to $190 million, adjusted net income of $46 million to $50 million and adjusted diluted earnings per share of $0.25 to $0.33. Consistent with our commentary in November and historical trends, we expect to deliver more than all of our profitability in the second half of the year, which is during peak pool season. We expect to see gross margin improvement of approximately 100 basis points compared to the prior year, driven by lower DC cost, better inventory management and improved supply chain efficiency. As a reminder, we expect most of this benefit will occur in the fourth quarter. Additionally, we expect to spend $50 million to $55 million in CapEx and to reduce fiscal year-end inventory levels by approximately $50 million. Regarding capital allocation, our first priority continues to be the pay down of our existing debt with the goal of achieving a leverage ratio of 3.5 times to 3.7 times in fiscal 2024 and a longer-term goal of reaching a leverage ratio of 3 times or less. From a growth perspective, as Mike outlined, we are planning 15 new store openings in fiscal 2024, with the majority of these stores expected to open prior to Memorial Day ahead of the key pool season. We also plan to convert six residential stores to our pro forma. At this time, we are not including any M&A activity in our fiscal year guidance. And with that, I will hand it back over to Mike. Thank you.
Mike Egeck: Thank you, Scott. Before we wrap-up, I want to cover a few recent developments in our corporate ESG initiatives. In September, we published our third annual ESG report that highlighted our expanded environmental disclosures. The formation of four employee resource groups, with membership across the organization and the improvement of our MSCI ESG rating from A to AA. In addition, we were pleased to announce that Leslie's was recognized by St. Jude's Children's Hospital as their new corporate partner of the year. In December, we announced that Steven Ortega has decided not to stand for reelection as Chairman at our next Annual Meeting and that James Ray Jr. had resigned from the Board and his position as Lead Independent Director given his recent appointment as CEO for another publicly traded company. I would like to thank Steve and James for their partnership and leadership as members of the Board. On behalf of current and former Leslie's associates, I would also like to thank Steve for his nearly two decades of service to Leslie's. We wish both Steve and James well in their future endeavors. We are also pleased to appoint John Strain a 30-year veteran of retail technology and e-commerce space and current board member as Lead Independent Director and Chairman Elect in advance of our 2024 Annual Meeting. To conclude, while we still felt the effects of lingering headwinds from 2023, we delivered results that were in line with or ahead of our expectations. As we prepare for the 2024 pool season, we remain confident in the durability of our advantaged business model and the ability of our team to leverage the competitive advantages from our scale, capabilities and strategic initiatives to drive growth, long-term market share gains, and shareholder value. With that, I will hand it back to the operator for Q&A.
Operator: Thank you. [Operator Instructions] Our first question is from Ryan Merkel with William Blair. Please proceed.
Ryan Merkel: Hey, everyone. Thanks for taking the question. Mike, I wanted to start-off with inventory. It looks like you've made some nice progress there. Can you just talk about the progress you've made with inventory management and why you're confident you're going to hit your targets for the year?
Mike Egeck: Yeah. Hi, Ryan, thanks for the question. I'll start, and then I'll have Scott speak to it more specifically. But I want to emphasize how pleased we are with Moyo's leadership of the supply chain in general and also with some additional hires we've made, all of which happened in March and April of last year. And since that time, that infusion of talent along with the go live of our new inventory planning systems, yeah, we've been really, really pleased with the results.
Scott Bowman: Yeah. And I'll just add on to that, Ryan, I think our inventory management has improved significantly starting in the fourth quarter, where we've reduced inventory by about $75 million. And then this quarter, another nice reduction for us. And so as we reduce inventory, it's mainly two things. it's having a good tool, which is Blue Yonder, but also having a good team behind it that enables us to be more precise on ordering product and getting it delivered to stores. And so it's really just great work by the whole team there. And for us, no reducing inventory is very important, but also in stock levels and service metrics are also extremely important. And so that's other guardrail that we look at, which has been extremely high. So we're really happy with the overall performance. And as we've kind of indicated earlier, we should be about $100 million less than our peak inventory last year, and that happens in late March, early April, and we're still confident that we can finish the year at about $50 million below the prior year.
Ryan Merkel: Got it. Okay. That's great to hear. And then my second question is on chemical prices. Mike, I think you said you've seen stabilization, can you just talk about how much Trichlor prices were down in the quarter? And then how does that compare to the guidance for 2024?
Mike Egeck: Yeah. I think Trichlor was down for the quarter, both in volume and in price. It was about a 50/50 split. But versus the prior year, and I'll talk about chemical prices in total, which was about a 250 basis point headwind to sales. And that's predominantly from the price actions that we took in June of last year until we anniversary those, they'll continue to be a headwind. But when you look at chemical pricing in the industry and our pricing since those June 23rd actions, yeah, they've been very stable.
Ryan Merkel: Okay. Great. I’ll pass it on.
Scott Bowman: Thanks Ryan.
Operator: Our next question is from Jonathan Matuszewski with Jefferies. Please proceed.
Jonathan Matuszewski: Hey, thanks for taking my question, and welcome, Matt [ph]. My first question is on your efforts with the PRO, right? You've been able to build some traction there. I think, penetration in terms of sales has tripled over the years. Could you just give us an update on wallet share with the PRO customers, right? Obviously, you've onboarded more PRO customers and the PRO partner program is helping to drive more frequency and purchases, but just help us understand that evolution in terms of converting PRO customers viewing Leslie's as convenient fill-in stop versus a first stop if that makes sense?
Mike Egeck: No. Absolutely, Jonathan. Thanks for the question. When we launched our Pro Partner program and our emphasis on the Pro Customer. We believe we had a structural advantage given our 1,000-plus locations. And those 1,000-plus locations give us the advantage of convenience. And our focus group work prior to initiating the program, we talked to a number of pros and they were very consistent in wanting reliability of supply, a good price, not necessarily the lowest price. And then convenience was extremely important to them, particularly to the smaller operators who don't have any inventory or what they're carrying in their track and their band.  And as you mentioned, sales have almost tripled. We've been very pleased with the progress we're making there. And there's a pretty sharp distinction, as we said in the script, between the Pro Partners that we have on contract and our other Pro Customers. And really, the share of wallet is built by getting them into the Pro Partner contracts. And we had good growth in that over the last year and intend to keep that pace of growth. And the difference between the wallet share in the PRO Partners and the non-PRO Partners is considerable. It's about 2 times. So the emphasis is really going to be on using our structural advantage of -- in most locations being closest to the pools and then really doubling down on signing up PRO Partners because once we get them in the program, they performed very consistently.
Q – Jonathan Matuszewski: All right. Great. That's helpful. And then maybe just a follow-up for Scott. Scott, right, historically, the revenue split has been 75% of sales in the second half of the fiscal year are there any nuances to that split for this year? If you could just kind of walk through why that split may not hold this year or if it will. Thanks. 
Scott Bowman: It should be very close to that split. I indicated I believe it was on the prior call that the split that we will have by quarter this year mirrors on the first half, second half mirrors very closely what we saw in 2022. 2023 was a little bit of an anomaly, but 2022 is probably the best comparison that I think will have for this year in terms of seasonality by half.
Q – Jonathan Matuszewski: Thanks so much. Best of luck 
Scott Bowman: Thank you. 
Operator: Our next question is from Simeon Gutman with Morgan Stanley. Please proceed.
Q – Simeon Gutman: Hi, everyone. Good afternoon. You mentioned, Mike, that pricing, I think, is where you want it to be, I think at the moment can you talk about as we get to the peak season, do you think, especially since it sounds like there's some potential share loss in the number, maybe it's obscure, not sure how do you read it. But being at the industry, you think that's enough to win back market share, if that's the way that -- if you're indeed losing it, so do you need to be sharper than that, I guess, another way to ask it.
Mike Egeck: Yes. Good question, Simeon. Look, I believe we're priced appropriately, and we're priced in our historical position, right? We're above mass and home and at or just below specialty. That's worked for us for a long time to where we're at now, we'll obviously react to the market if the market goes lower. But I don't see us at this time, we need to do that. It would be reaction. It wouldn't be something we would lead. To your question on market share, though, I have to say, we were expecting a headwind on the credit card data, based on the chemical price changes. As you remember, last quarter, that basis point headwind from the chemicals more than bridged the differential in sales rate. We are frankly surprised this quarter that it didn't play out the same way. The chemical price action explained about 40% of the gap doesn't explain the rest. And it doesn't line up with our other data checks. And by that, I mean discussions with our vendors, discussions with our store managers, we use similar web for our digital traffic and all of those kind of soft, qualitative and some quantitative measures indicate that our current performance is in line with the industry. So we're a little surprised by that. The way we're thinking about it is, first quarter is our smallest quarter. It is -- we don't think it's a good idea to take that result from Q1 and extrapolate it for the year, not necessarily representative of long-term trends. We ended fiscal year '23, up 140 basis points versus the industry fiscal year '22 up 690 basis points. We feel quite confident we'll gain share this year as well, but it didn't play out in the first read from the smallest quarter of the year. Regardless of that, we take this data very seriously. We think it's important data and we pay attention to it. And we're taking some actions, like I mentioned in the script. We know that we've often been perceived as a premium qualities at a fair price before the chemical price actions of last year that got a little out of whack. And we continue to be head down analyzing how to improve our perception of value with consumers. And we're doing some very specific things. We're bringing lower-cost products, smaller sizes of chemical front of the store for that first price and value perception as you come into the store. And we're doubling down on an item of the month strategy, which we found to be quite effective and also the increasing messaging around the other value drivers of our business, 5% rewards and free shipping with pool perks or price match guarantee and also our omnichannel capabilities. Those initiatives, all we really started -- we started to emphasize all of them really in the second month of the quarter, and we did see improved performance. So we're going to continue with that, focus of driving value with the consumers, because we believe with our current price positioning, we are a very good and compelling value.
Simeon Gutman: Yes. Thanks for that. Something else we're thinking about the competitive backdrop, it sounds more stable. You talked about chemical pricing, and then we talked about your pricing. Is there any way -- or how do you think about gauging what you're seeing today as like a precursor for the spring, or you can't judge the last couple of months and how the spring will shape up once we get the peak selling season.
Mike Egeck: Yes. I think it's again, it's the smallest quarter, and then January is our smallest month. So we really need to get into at least February and March when some of the -- some belt markets start to percolate that we can see our first look at the velocity going into the season. But we're encouraged by the different weather forecasting, we use everything from farmers almanac to WTI to NOA to Planalytics, which is our core provider. And we're pleased to see that for the months of March, April, May, really the kickoff with the season and into June, we're seeing at least normal, if not favorable weather across most of our key markets. So I think it's a pretty good setup the pool season. The other thing to take into account is, last year, we saw evidence of people stockpiling our latest survey, which we talked about last quarter. Consumers are indicating they're not doing that. We have another survey going out this month to confirm that. But I think we see no stockpiling or significantly less. We see a good weather setup. We’re very pleased with where we are with pricing and our in-stock levels and our NPS scores are all improving. So we feel pretty good about the setup to the season. But to your point, it doesn't become -- there's not a lot of clarity around that, I would say, until March, April.
Simeon Gutman: Okay. Thanks. Good luck.
Mike Egeck: Thank you.
Operator: Our next question is from Steven Forbes with Guggenheim Securities. Please proceed.
Steven Forbes: Good afternoon, Mike, Scott.
Mike Egeck: Hey, Steven.
Steven Forbes: Mike, I was wondering if you could maybe just expand on sort of your outlook for the customer file, right? Like is it too early to – if you get a good read on trends, both loyal and non-loyal on when you expect stabilization, or are you starting to see anything that would sort of support the thesis of stabilization at some point this year? I'd love to just sort of, get your most recent thoughts on thinking on the customer file and stability.
Mike Egeck: Yes. I think there's some unwinding still of some of the onetime customers that we picked up during the pandemic. I would expect next quarter's customer file to be down, not down as much as it was this quarter. And then I would think by the second half, we should flat down and start to grow again, which is reflective of our business overall. We really think that first quarter and second quarter of this year, we've got both structural headwinds and some, I'd say, kind of the final unwinding of some of the customer files that were in one time, typically in one time as Tricor buyers, frankly. And then we get back to the core of the file, which has been quite healthy. And when I think of the core file, we're really thinking about our loyalty customers. Loyalty members continue to grow. They were down 4% in the quarter, quite a bit better than the company overall. Transactions are positive, which we need to see positive transactions for our guidance to a hit. And we saw some pressure on AOV, but that was across the file and very much in line with what we've seen in other places. And that's really kind of the lack of the high ticket more discretionary equipment items and also the hot tub customers in our file.
Steven Forbes: Thanks, Mike. And just a quick follow-up. I think pro-comps, right were down 8%. Where is pro-traffic trending? And how are you sort of thinking about Pro versus residential sales for the year? Are you still sort of equivalent or similar or anything changing there?
Mike Egeck: Yes. I think pretty similar. We can't break out pro traffic specifically, right? The traffic counters in the stores count customers coming in. Feedback from our stores and from our pro wholesale representatives is that pro traffic has been very similar to residential traffic. And that would be our history as well. Traffic was down kind of mid single-digits for the quarter and the pro sales that you saw were down 8%. Again, a pretty big difference between Pro partners, who we have the contracts with. They are -- I do them similarly to our loyalty customers in our regular file. We wrap our arms around them nicely. We do a good job of explaining the benefits of the program. And we're very focused on continuing to grow the number of contract partners we have Pro partners and also the number of loyalty members
Steven Forbes: Thank you.
Operator: Our next question is from Garik Shmois with Loop Capital Markets. Please proceed.
Garik Shmois: Hi. Thanks for taking the question. I wanted to ask just around trends in the quarter that just ended. You mentioned they improved each month. Certainly, weather played a role. I don't know if you're able to parse out how much was weather in driving the improvement sequentially versus any maybe underlying improvement in trends?
Mike Egeck: Yeah. Good question, Garik. October was tough. I mean that was -- it was a tough month. And the challenge for us in Q1 is that each month of the quarter gets smaller in volume. So October is the biggest month, November smaller, December smaller in January, our smallest month of the year. Q2 is the reverse January sale month of the year, really hard to extrapolate anything that happens in January even to the quarter because March is more than 50% in the entire quarter. So October, the weather was not as favorable as it was in November and December about half is favorable. And we just saw lower traffic with about similar conversion. So I'm not sure we can explain everything that happened in October, but it was a challenging month, and we are very pleased to see November improve from there in December improve more.
Garik Shmois: Understood. Thanks for that. Follow-up question is just on hot hub sales, just given the weakness there for several quarters given the pullback in big-ticket discretionary spending. You mentioned comps are easing as you move through fiscal 2024. Just wondering how we should think about maybe the growth rate or kind of the narrowing of the declines in hot hub as the year progresses?
Mike Egeck: Yeah. We have planned the discretionary business for the year down about 10%. And that's what's built into the midpoint of our guide. We've discussed that at some of the earlier calls. The -- and hot tubs are about 75% of discretionary sales. So we need to see hot tubs turn. What gives us confidence and sparked my comments in the script is hot tub business is the one business where we have a forward order book. And at the end of the quarter, that order book was basically flat. And we need that kind of improvement from down 20% to flat to get us at or better than that down 10% for the year. So that's why we talk about encouraged -- being encouraged by the hot tub results, not for the Q1 results in terms of what was delivered and shipped, but for the formation of the order book for the balance of the year.
Garik Shmois: Understood. Thanks for that. Appreciate it and best of luck.
Mike Egeck: Thanks, Garik.
Operator: Our next question is from Andrew Carter with Stifel. Please proceed.
Andrew Carter: Hi. Thank you very much. So what I wanted to drill in on is you said that the -- regarding the product margin was down excuse me if I say the wrong number, 250 basis points, and it was almost entirely related to the timing of volume rebates. So within that, I know you took the price reductions on Trichlor. Are you saying that kind of like-for-like, you've actually kind of recovered some of the costs from vendors and you're actually cost neutral with the price decrease. Therefore, a pretty significant product margin expansion as the year goes by. Just help me parse that out. Thanks. 
Mike Egeck: Yes, Andrew, the headwind from the price chem changes is about 195 basis points. It's not in the bridge because we were able to effectively mitigate that with other merchandising price cost actions and not just in chemicals across the assortments in our different product categories. So we're pretty pleased with those results. It's going to be an ongoing challenge in Q2 and into June until we wrap those price changes. But yes, you're correct. We didn't call them out because we were able to effectively mitigate the majority of them.
Q – Andrew Carter: And then the second question I have, I mean, last year, you got out over your skis on pricing, didn't make an adjustment until late season. You also had the added factor content with of people had chemical sitting in their garage, you think that's unwinded. So I mean, regarding kind of getting the messaging out there, how long is the process is that to get the message back to the customers? And if you could help us out, like how often does kind of a core consumer come into Leslie’s, is it twice a season? Is it once a week? Just anything you can help us out with there? Thanks. 
Mike Egeck: On average, it's about three times the season. So we should be -- by the time we lap those price changes, we should have seen most all of our account base. And then look, it's just it needs to be a steady drumbeat of messaging, reinforcing not just our pricing but also our value. I think the most encouraging thing is that we decided to take those price actions on chemicals two reasons. One, based on what we were seeing for competitive pricing, but also and importantly, our Net Promoter Scores started to dip and the driver was price perception. We've always been viewed as a premium product, premium quality at a fair price. And we started to get feedback that it was overpriced. That's not the position we want to be in. The good news in our minds, is the NPS scores on that specific pricing metric have been improving every month since. So we think we're in -- it's one of the reasons when we're talking about pricing earlier and the question from Simeon, one of the reasons we feel we're in a good spot there. But as we've talked about before, we're constantly scraping across the digital sites. We've got shoppers in market. So we're paying a lot of attention to -- definitely intend to use your phrase, not get out of our skis again.
Q – Andrew Carter: Thank you very much. I'll pass it on.
Mike Egeck: Thanks, Andrew.
Operator: Our next question is from Justin Kleber with Baird. Please proceed.
Q – Justin Kleber: Yes. Good evening, everyone. This is Justin Kleber. Thanks for taking the question. First one, just to clarify, Mike, the traffic comments. You mentioned an improvement to down mid-singles. Can you just help me reconcile that figure versus the transaction number you have in the deck, which showed a slight desell, if traffic is less bad, but actual transactions, I guess, got a bit worse sequentially. Is conversion the missing piece there? Or am I missing something with the numbers and not looking at apples-to-apples.
Mike Egeck: No, you're looking at it correctly. I'd kind of parse it into the year-over-year comparison and to the sequential comparison. And on a year-over-year basis, you're right, transactions are down 6%, traffic is down in that same range, conversion was basically flat. On a sequential basis, for September Q4 into Q1, we tend to have a little less conversion rate overall historically. And I think that has to do with -- you're starting to wind down out of the peak pool season. And it's just a little bit different kind of shopper coming in. So not surprised by that, but what you pointed out is absolutely correct. Higher conversion in Q4, a little higher over -- a little lower conversion in Q1, but quarter over quarter -- or excuse me, year-over-year for quarter one, conversion was flat.
Justin Kleber: Got it. Okay. Thanks for the clarification. And then, Scott, maybe a question for you on gross margin. Just wanted to walk through that positive 110 basis point inventory adjustment. I thought we really weren't going to start clawing that divot back until 4Q. So just any additional color there. As we think about 2Q, just any color on how you envision the various margin buckets playing out even if it's just directional commentary relative to 1Q? That would be very helpful.
Scott Bowman: We've just placed a very high focus on inventory adjustments in general. And so I think we're getting better at it. So I think that's one reason why it was a little bit better. I think the other thing is we did -- we spent a lot of time in Q4 just making sure that we had things cleaned up. And so there was a lot of work done, especially with bringing all of the inventory in-house. And so I think that rigor that we had in Q4 is paying off a little bit for us as well here in the first quarter. Now, when I look at Q2 margin kind of compared to Q1, I still see Q2 slightly better than Q1 in large part just because we'll have better leverage on DC costs and occupancy costs with more sales. So I think that will help the quarter. We did have some price increases in January of last year that will temper that. But even with that, I still expect Q2 to be a little better sequentially than Q1.
Justin Kleber: Got it. Thank you both. Best of luck.
Operator: This will conclude today's question-and-answer session. I would like to turn the conference back over to Mike for closing remarks.
Mike Egeck: Thank you, operator, and thank you all for joining us today, and your continued interest in Leslie's.
Operator: Thank you. This will conclude today's conference. You may disconnect your lines at this time and thank you for your participation.